Operator: Good day and thank you for standing by. Welcome to the Schnitzer Steel's First Quarter Fiscal 2023 Earnings Presentation. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to Michael Bennett, Investor Relations. Please go ahead.
Michael Bennett: Thank you, Carmen and good morning. I am Michael Bennett, the company's Vice President of Investor Relations. I am happy to welcome you to Schnitzer Steel's earnings presentation for the first quarter of fiscal 2023. In addition to today's audio comments, we have issued our press release and posted a set of slides both of which you can access on our website at schnitzersteel.com. Before we start, let me call your attention to the detailed Safe Harbor statement on Slide 2, which is also included in our press release and in the company's Form 10-Q, which will be filed later today. As we note on Slide 2, we may make forward-looking statements on our call today such as our statements about our targets, volume growth, and margins. Our actual results may differ materially from those projected in our forward-looking statements. Additional information concerning factors that could cause actual results to materially differ from those in the forward-looking statements is contained in Slide 2, as well as our press release of today, and our Form 10-Q. Please note that we will be discussing some non-GAAP measures during our presentation today. We've included a reconciliation of those metrics to GAAP in the appendix to our slide presentation. Now, let me turn the call over to Tamara Lundgren, our Chairman and Chief Executive Officer. She will host the call today with Stefano Gaggini, our Chief Financial Officer.
Tamara Lundgren: Thank you, Michael. Good morning, everyone, and welcome to our fiscal '23 first quarter earnings call. I hope you all had a good holiday break and like me are looking forward to a safe, healthy and prosperous New Year. Today on our call, I'll review our quarterly financial results, the trends affecting our business and progress on the strategic activities we have underway to address evolving industry dynamics and create long term value through the cycle. Stefano will then provide more detail on our financial performance, our capital structure, and our capital investments. I'll wrap up and then we'll take your questions. So let's turn now to Slide 4 to get started. Almost 10 years ago, we created a sustainability framework based on three pillars; people, planet and profit. In mid-December, we issued our ninth annual sustainability report, which highlights our company's commitment to creating a more sustainable future by supplying our customers with high quality, low carbon recycled metals and finished steel products. In our 117th year of operation, our work and our purpose have never been more relevant than they are today. In fiscal '22, we advanced our sustainability goals by supporting our employees and communities, implementing best-in-class environmental processes and infrastructure, expanding our platform and introducing net zero carbon emissions product offerings. We delivered the second best safety results in our company's history with 90% of our facilities free of any lost time injuries. While we still have work to do to keep achieving year-over-year improvement, we are seeing excellent momentum so far in fiscal '23. We also achieved 100% net carbon-free electricity use across the company's operations for the second consecutive year and we reduced our Scope 1 and 2 greenhouse gas emissions from recycling operations, by 24% against our 2019 baseline. We are meeting these goals primarily through investments in state of the art emissions control systems for our metal shredding operations and more efficient operating equipment and in fiscal '22, we introduced GRN Steel, our line of net zero carbon emission steel products. The launch of our GRN Steel product line provides our customers with net zero steel solutions as they build out tomorrow's essential infrastructure. We were honored this year to be recognized by a number of organizations for our leading performance and sustainability. These achievements would not have been possible without all our employees living our core values of safety, sustainability and integrity and operating with the agility, resilience and collaboration that have underpinned our success. I'm very proud of what our team has accomplished and I encourage you to visit our website to view our latest sustainability report. So let's turn now to Slide 5 to review our Q1 results. Earlier this morning, we announced our results for our fiscal '23 first quarter, which reflected an adjusted EPS loss of $0.44 per share and positive adjusted EBITDA of $8 million. Our first quarter results were impacted by an extended shredder outage at our Everett facility and a regulatory issue limiting operations at our shredder facility in Oakland, both of which were resolved by mid-November. These disruptions, together with tight supply flows from a significantly lower price environment, weaker economic activity and the delay of several ferrous export shipments resulted in much lower sequential fares, sales volumes and margins. Finished steel volumes and prices also declined during the quarter, primarily due to lower wire rod demand, while rebar to scrap metal spreads remained robust. Since the end of the quarter, we've seen a strengthening in sales prices and demand for recycled metals in both export and domestic markets. With the operational disruptions now behind us and with our expanded cost reduction and productivity program expected to deliver increased benefits, we anticipate significant improvement in our second quarter results. Our balance sheet remains strong and we continued our uninterrupted record of returning capital to our shareholders through the issuance of our 115 consecutive quarterly dividend. Let's turn now to Slide 6 to review price trends and supply flows. Demand and prices for both ferrous and non-ferrous metals weakened throughout the quarter, influenced by slower growth, inflationary pressures and steel inventory destocking. By November, both ferrous export and domestic markets were down by 15% to 20% or approximately $50 per ton, compared to August levels. The export markets were most impacted by higher energy cost and a stronger dollar. The domestic market was impacted by an average steel mill utilization rate of below 80%, which has persisted for 25 consecutive weeks. While ferrous scrap prices declined throughout the quarter, they remained above their tenure average, reflecting the underlying structural drivers of demand for recycled metals. Since the end of the quarter, ferrous export prices have strengthened with reported December prices of approximately $400 per ton delivered depending on the region. Demand in Turkey has improved since the end of the first quarter, and South Asian activity remains steady. In the U.S. domestic market, ferrous prices also improved in December, reversing seven consecutive monthly declines as lower prices began to significantly impact supply flow. Turning to non-ferrous, as you can see in the upper right chart on this slide, base metal index prices for copper and aluminum improved towards the end of the quarter. Drivers included the weakening of the U.S. dollar during November, China's return to the global markets for semi-finished and clean non-ferrous products and supply concerns. These concerns are valid as the significant drops in ferrous and non-ferrous prices have led to considerably tighter supply flows across all regions and channels, exacerbated by inflationary pressures which have increased collection costs and reduced consumer scrap generation and most recently by challenging weather conditions in most regions in the country. Turning to finished steel, while demand in prices came off their near record highs, metal spreads continued to be robust, up 15% year-over-year. The construction markets are seeing some softening due to interest rates and inflationary pressures on construction costs, although the Dodge Momentum Index is signalling growth in the non-res, commercial and industrial sectors. The increased demand related to the U.S. infrastructure bills has not yet materialized, but we do expect to see this demand commence later in the calendar year. With the increased focus on low carbon steel in the Biden administrations by clean directive, our Oregon steel mill is well positioned to meet this rising demand. So now let's turn to Slide 7; we believe the structural demand for recycled metals remains very positive, supported by the transition to low carbon technologies, the increased focus on decarbonisation, the anticipated structural deficits for copper and aluminum and the expected funding related to the infrastructure bills. Decarbonisation is a powerful structural driver of demand as recycled metals require less carbon to produce than mined metals and many low carbon technologies are widely acknowledged to be more metal-intensive. We can see how some of these trends have translated into higher ferrous scrap metal usage in the U.S. and globally by looking at the charts on this slide. EAF steelmaking capacity, which uses scrap as its primary raw material, has been expanding and is projected to increase even further. These trends are also reflected in the increased demand for manufacturers and retailers to maximize the use of recycled materials in their manufacturing processes and products and to reduce the environmental impact of their activities. To support this demand in late November, we acquired ScrapSource LLC, a scrap management company based in Dallas Texas. ScrapSource is an asset-light business in the metals recycling space, focused on providing metals recycling management, services and solutions. ScrapSource currently services over 500 customers representing manufacturers, fabrication facilities and service centers across North America. This lean business model provides opportunities for us to significantly scale our national sourcing platform, enhanced services to our national manufacturing and retailing customers, increase supply flows to our operations and create expansion opportunities in new regions. So let's turn now to Slide 8 to review additional strategic actions we have underway. We're focused on four strategic priorities; first, technology investments in advanced metal recovery systems at our major recycling operations to enable us to extract more non-ferrous metals from our shredding activities, increase throughput and improve our margins, expand our product offerings and our customer base and reduce material going to landfills. Second, volume growth. Our multi-year focus on increasing our ferrous and nonferrous volumes has led to an annual 6% volume growth rate since fiscal '16. We've achieved this through a combination of organic growth, acquisitions and improved recovery of non-ferrous materials through our shredding process. Third, expansion of our products and services to meet the evolving demand for recycled metals such as the launch of our net zero GRN Steel products, the acquisition of Scrub Source and the reverse logistics services we provide to manufacturers and retailers. And fourth, productivity initiatives that we undertake as part of our continuous improvement culture and which are particularly important in the face of significant inflationary pressure. In Q1, we achieved nearly the full run rate of benefits from the $40 million of cost reduction and productivity initiatives that we announced in October. In December, we identified additional initiatives that aim to reduce SG&A cost by approximately $20 million on an annual. So now let me turn it over to Stefano for a more detailed review of our financial and operating performance.
Stefano Gaggini: Thank you, Tamara and good morning. I'll start with a review of our consolidated results and provide an update on our ferrous sales in the market dynamics. Adjusted EBITDA in the first quarter was $8 million or $10 per ferrous ton. Results reflected the detrimental impact of the operational disruptions as our Everett and open facilities, which is estimated to be approximately $18 million or $21 per ferrous ton, resulting from a combination of incremental operating cost and lost income due to the impact of the disruptions on supply flows and sales volumes. Weaker demand resulting from slower growth and mill inventory destocking led to a sequential decline in average net selling prices for ferrous and non-ferrous recycle metal. The lower price environment also contributed to tightest scrap flows, which combined with an increasing collection cost, resulted in a significant compression in metal spreads. This compression in spreads substantially offset the lower sequential adverse impact from our average inventory costing method, which was a detriment of approximately $2 per ferrous ton in the first quarter. During the quarter, our steel mill remained a significant contributor to performance, despite a sequential decline in net selling prices and volumes of finished deal. As mentioned by Tamara, during our first quarter, we successfully implemented the $40 million annual productivity initiatives that we announced in October, which are focused on production cost reductions, operating efficiencies and yield improvements to help mitigate inflationary pressure on operating cost, including for labor, energy, logistics and waste disposal. We achieved a nearly full quarterly run rate of those benefits in the first quarter and expect to achieve the full run rate in our second quarter of fiscal '23. To further mitigate inflationary pressure, we have identified new initiatives that aim to reduce SG&A expense by approximately $20 million annually compared to the last six months run rate. We expect to achieve approximately half of the SG&A savings run rate in the second quarter and substantially the full run rate after that. These SG&A actions are focused on achieving savings to a combination of reduction in force, lower professional and outside services, decreased lease cost and reductions in other discretionary expenses. Turning to the ferrous dynamics in the quarter, average net ferrous selling prices were down 12% sequentially and by 24% year-over-year. Our ferrous sales volumes were down 33% sequentially and by 26% year-over-year, including the aggregate impact of the operational disruptions in Everett and Oakland estimated at over 100,000 tons. In addition, the reduction in ferrous sales volumes also reflected the tighter scrap supply flows and the delayed shipment until December of several bulk cargoes with approximately 100,000 tons. Our top sales destinations for ferrous experts in the quarter were India, Bangladesh and Turkey. The share of domestic sales was higher than typical, adjusted over 50% in the first quarter, reflected the temporary impact on export sales from the operational disruptions and several export shipment delays. Now let's move to Slide 10 for an update on non-ferrous sales and the market dynamics. Average net selling prices for non-ferrous shipments in the first quarter declined 14% sequentially, reflecting full the decline in market selling prices that occurred over the summer while the prior quarter had benefited from forward sales made at higher prices. Non-ferrous sales volumes declined sequentially by 12%, primarily due to tighter flows resulting from the drop in prices. Year-over-year non-ferrous volumes were up 6% including the contributions from both Columbus recycling and Encore recycling acquisition. We sold our non-ferrous products to 15 countries with the major export destinations being Malaysia, China and India. The share of export sales of non-ferrous were 60% in the first quarter, up subsequently from 55%, reflecting improved export economics and container availability for overseas shipment. Our product mix is highly diversified with sales of zorba representing 29% of our non-ferrous volumes, aluminum 27%, copper 14%, twitch 13% and with stainless, Zurik and other non-ferrous metals making up the balance. The increasing share of twitch in our non-ferrous product mix is a direct result of our investments in advanced technologies to produce more furnace-ready materials. Now let's move to Slide 11 to provide an update on our advanced metal recovery technology investment. We continue to make progress on the deployment of our technology program focused on increasing metal recovery and the volume of non-ferrous material from shredding operations. Once fully operational, we expect non-ferrous volumes recovery from shredding to increase by approximately 20%. Further benefits come from our ability to generate more furnace-ready, higher valued products and creating product optionality. Our program is comprised of seven primary non-ferrous recovery systems at our major shredder facilities. They will be the main drivers of the projected increase in recovery volumes. Of these primary systems, three are major aluminum and four are major copper recovery systems of which one was operational in the first quarter. We completed construction of two more of these major systems in Massachusetts and in California, which began commissioning in November. Our initiative also includes aluminum separation systems on each coast, both of which are now operational and four supplemental copper separation systems of which three are operational with construction completed on the other one, which is in our ramp up phase. We continue to target completion of construction of all systems by the summer of 2023, subject to construction equipment delivery and permitting timelines. The contribution to performance from these technologies in the first quarter of fiscal '23 was positive and on an increasing trend, although not yet in material to results after consideration of the costs incurred on systems that are undergoing commissioning and ramp up activities. As more of our major systems become fully operational, we expect a quarterly benefit profile to gradually increase during fiscal '23 and continue to target substantial achievement of the estimated full run rate benefits to EBITDA of $10 per ferrous ton by the end of calendar year 2023. We expect the overall capital investment to be in the range of $130 million, of which approximately $119 million have been spent to date, leaving just over $10 million to complete the projects in fiscal '23. Now let's move to Slide 12 to discuss our steel mill performance and West Coast markets. Demand for finished steel in the first quarter in our West Coast markets moderated compared to the summer highs, particularly for wire products. After achieving record levels in the second half of fiscal '22, average selling prices for finished steel decreased 9% sequentially over higher year-over-year by 4%, supporting resilient metal spreads at our mill. Finished steel sales volumes of 118,000 tons were down 6% sequentially. Despite the planned maintenance outage during the quarter, our average rolling mill utilization of 81% was higher than the U.S. average of approximately 75%. Now let's move to Slide 13 and discuss cash flow, capital structure and outlook for the second quarter. Our first quarter is typically lower operating cash flow due to the cash payout in November each year of intensive compensation occurring in the previous fiscal year. In addition, operating cash during the first quarter was impacted by the delay of several federal shipments and related cash collection. These two items drove the substantial majority of the almost $70 million detriment from higher networking capital in the period. As the chart from the top left shows, we have a multiyear track record of generating strongly positive annual operating cash flow through the cycle. Looking beyond the first quarter, we expect this annual trend to continue for our fiscal '23. CapEx spend in the first quarter totaled $48 million. For fiscal '23 as a whole, we expect our CapEx to be in the range of $130 million to $140 million. Around the third will be for growth projects, including the completion of our technology initiatives with the remaining for maintaining the business and environmental related capital projects. Excluded from this annual range is the CapEx associated with the repair and replacement of the shredder enclosure building at our Everett facility during fiscal '23 as these expenditures are expected to be substantially recovered through insurance over time. As Tamara mentioned on November 18th, we completed the acquisition of the operating assets of Scrub Source. The purchase price was $25 million. On a pre-synergies basis, the acquisition price reflects a trailing 12 month EBITDA of $4 million. We expect the cash flow return on investment to be well above our cost of capital and do not anticipate post-acquisition capital expenditures. Net debt increased to $354 million at the end of the first quarter, with the sequential increase reflecting our operating cash outflow, CapEx spend and the acquisition of ScrapSource. Availability under our credit facility remains sizable with a borrowing capacity of $800 million in a maturity of August 2027. Net leverage was 28% at quarter end, primarily reflecting our investments in acquisitions since the beginning of fiscal '22. The ratio of net debt to adjusted EBITDA was 1.5 X. We returned capital to shareholders through our quarterly dividend while we did not repurchase shares in the first quarter, buybacks remain part of our balanced capital allocation strategy, and we have repurchased approximately 3.5% of our outstanding stock in the last 12 months. Our effective tax rate was a benefit of 26% on our first quarter results. Although there are still almost two months left in the quarter, I'll now turn to our outlook for the second quarter of fiscal '23, which is based on market conditions and information we have today. We expect our ferrous volumes to be up approximately 35% sequentially, driven primarily by the resumption of full operations at our Everett and Oakland facilities at the completion of the shipments that were delayed at the end of the first quarter. Non-ferrous sales volumes are expected to be up 5% sequentially. Finished steel sales volumes are expected to be down approximately 5% sequentially due to normal seasonality as well as softer demand for wire rod products. We expect our consolidated adjusted EBITDA per ferrous ton to significantly improve from the first quarter and approximate $30. Looking at some of the underlying dynamics, there are various factors contributing to the expected improvement in sequential performance; first of all, the resolution of the operational disruptions we face in the first quarter. Second, the recognition of the ferrous shipments delayed from the first quarter, which however were contracted at lower prices before the ferrous market rebounded. Third, a benefit to metal spreads from the recovery in ferrous and nonferrous market prices since November, the magnitude of which, however, is tempered by the continued tightness in scrap flows, including from winter weather that typically reduces scrap available. And fourth, we anticipate seeing the partial benefits of our expanded productivity initiatives flow through during the quarter. Offsetting these positive factors are unexpected lower sequential contribution from our steel mill due to a decline in finished steel prices and sales volumes. Also, retail parts sales at our Pick-n-Pull auto stores are subject to normal seasonality in the winter. In the second quarter, we expect our effective tax rate to approximate 25% and the average inventory accounting effect to be neutral. We also anticipate our operating cash flow in the second quarter to be positive based on higher profitability together with the benefit to working capital associated with completing the shipments that had been delayed at the end of the first quarter. And with that, I'll turn the call back over to Tamara.
Tamara Lundgren: Thank you, Stefano. As we move forward in fiscal '23, our strategic growth investments and our productivity initiatives are expected to deliver additional material benefits. We have a strong balance sheet with low leverage and interest expense, a track record of delivering positive operating cash flow, an ability to invest in the growth and productivity of our company and an uninterrupted record of returning capital to our shareholders through our dividend. We are well positioned to benefit from the global focus on decarbonization, the increased metal intensity of low carbon technologies and the continued growth in U.S. and global EAF steelmaking capacity. In closing, I'd like to thank our employees for their dedication to continuously serving our customers and communities, supporting our suppliers and demonstrating the critical and essential role of our business and industry in the economy. You have demonstrated once again why we have continued to be a leader in the recycling industry for over a century. And now Carmen, let's open the call for questions.
Operator: [Operator Instructions] And it comes from the line of Emily Chang with Goldman Sachs. Please go ahead. Your line is open.
Emily Chang: Good morning, Tamara and Stefano, and thank you for the time this morning. My first question is just around the M&A front. It's certainly been a little bit more active here over the last 24 months or so. How should we be thinking about your appetite for further bolt-on transactions? Are there any gaps in the portfolio you would like to address whether that's geographic, product type or service type that perhaps you'd like to solve with some of this M&A activity?
Tamara Lundgren: Sure. Well, thank you, Emily. Thanks for joining us this morning and Happy New Year. So we have been -- we have been developing and we have an active pipeline and have for several years. Last year, as you know, we made two significant acquisitions in the Southeast, because the Southeast remains the largest growth region for steelmaking and manufacturing in the U.S. So we now have 24 metals recycling facilities, including one new shredder in the Southeast. The acquisition of Scrub Source, what is intended to grow and expand our recycling services portfolio, ScrapSource's is a services and solutions provider in the metals recycling space and it supports industrial manufacturing customers primarily in the U.S. as well as servicing the international operations for a select number of U.S. customers with facilities in Canada and Mexico and that's a part of the industry recycling services to manufacturers and retailers that are -- that's growing at a higher rate due to secular sustainability trends. And the acquisition is part of our strategic initiative to expand our recycling services and it has the same core business as our own national accounts business. So I anticipate that we will continue to expand that business because it's an asset light business and it provides a service. It responds to the industry's demand the manufacturer and retailer demand to reduce the environmental impact of their activities and understand the environmental impact of what they do. So I think that you can expect to see us grow that space as well.
Emily Chang: Great. Understood. That's very clear Tamara and then my second question, that's more directed for Stefano, but as you think about some of the recent transactions, leverage has increased a little bit, certainly still at a reasonably comfortable level for Schnit. but how should we be thinking about what the optimal leverage or sort of net debt to EBITDA ratio should be and how should we expect to see as Schnit is generating positive free cash flow of that to be allocated towards deleveraging?
Stefano Gaggini: Yes, good morning, Emily. As we have noted in our prepared remarks, the net debt has increased as you mentioned, but I would want to point out that a reason right for that increase during the quarter obviously was from our working capital increase that we saw from seasonality as well as those delayed shipments and we would expect that to be absorbed and to be a benefit to working capital and therefore leading to a reduction in net debt in the second quarter accordingly. So that that's one Q1 aspect that would not be expected to continue into Q2 and actually to reverse. While we don't have a target for debt to EBITDA or overall leverage ratio, we continue to feel that our balance sheet is very strong with net debt reducing as I mentioned, the expectation going forward. We have a strong track record, multi-year track record of being able to generate strongly positive cash flow, operating cash flow through the cycle. and we would expect that to continue in the current year and certainly targeting free cash flow that would allow us to reduce net debt and use that free cash flow for our capital -- balanced capital allocation overall.
Emily Chang: Great. Understood. Thank you, Stefano.
Operator: [Operator Instructions] All right, ladies and gentlemen, this concludes our Q&A session. I will turn the call back to Tamara Lundgren for final remarks.
Tamara Lundgren: Thank you, Carmen and thank you all for your time today. We look forward to speaking with you again in April when we report our second quarter results. In the interim, stay safe and stay well, thank you.
Operator: And with that, ladies and gentlemen, we thank you for participating in today's program. You may now disconnect. Have a good day.